Operator: Good day, and welcome to the DHI Group Incorporated Fourth Quarter and Full Year 2021 Financial Results. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Todd Kehrli, MKR Investor Relations. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon and welcome to DHI Group Fiscal 2021 Fourth-Quarter earnings conference call. With me on today's call are DHI's CEO, Art Zeile, and Chief Financial Officer Kevin Bostick. Before I turn the call over to Art, I'd like to cover a few quick items this afternoon, DHI issued a press release announcing its Fiscal 2021, fourth-quarter, and full-year financial results. The release is available on the company's website at DHI Group, Inc. dot com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call management will make forward-looking statements that involve risks and uncertainties.  Please note that except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used, the words anticipate, believe, expect, intend, future, and other similar expressions identify forward-looking statements. These forward-looking statements reflect DHI management's current views concerning future events and financial performance, and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales, and the adverse impact of, and uncertainties surrounding the COVID-19 pandemic, and other risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission.  DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, during today's call management will be referring to specific financial measures including adjusted EBITDA, adjusted EBITDA margin and adjusted earnings per share that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of the non-GAAP measures to the most directly comparable GAAP measures are available in the earnings release and on our website at dhigroupinc.com, in the Investor Relations section. And I'll turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone, and welcome to our fiscal 2021 fourth quarter and full-year earnings conference call. Thank you for joining us today. In 2021, we focused on improving our industry-leading subscription software tools, which we sell into the technology career marketplace through our two brands, Dice and ClearanceJobs. This focus, along with the significant investments we have made to improve our products and sales and marketing over the past year, has allowed us to accelerate our bookings and revenue growth on both platforms during the second half of 2021. As a result, we finished the year strong with fourth-quarter total revenue growth of 25% year-over-year, and total bookings growth of 35% year-over-year. As more employers use our subscription software tools.  As the demand for technologies continues to grow at a rapid pace, and the unemployment rate for technologies remains at an all-time low, employers need sophisticated tools like ours to find, attract, and engage with the right tech candidates. Dice, and ClearanceJobs are tech-focused career marketplaces that attract the highest quality tech professionals and enable employers to find and engage these skilled candidates on our platforms as they look to fill the millions of new technology jobs being added over the next five years. Enabling our customers to use our patent pending skills mapping technology to find and engage with the best tech candidates, is a substantial competitive advantage for both Dice and ClearanceJobs. And significantly differentiates our offering from other well-known career sites. Unlike these sites, we are solely focused on serving the technology market where candidates are measured on the technology skills they have acquired over their career, and not a simple job title. Demand for these skilled technology candidates continues to increase as employers require more technologists to drive their evolving digital strategies. As we recently reported in our annual Dice Tech salary report It is a great time to be a technologist with salaries increasing almost across the board, and the average annual tech salary hitting a record level of $105,000 up 6.9% year-over-year. This increase shows that organizations are responding to the heightened need for tech talent. Tools like Dice and ClearanceJobs are imperative to find, attract, and engage these tech candidates.  Now let me dig into both of our brand’s performance during the quarter and where we see them heading. Let's start with Dice, which is our largest opportunity for total revenue growth. Our bookings for Dice increased 35% year-over-year in the fourth quarter, and our revenue renewal rate remains strong at 91%. All of this resulted in our Dice revenue for the quarter increasing 9% sequentially, and 26% year-over-year. Dice has two opportunities for expansion in front of it, as it directly serves the growing market demand for technologists. Dice commercial accounts is our largest white space opportunity with tens of thousands of companies in the U.S. looking to hire high quality tech professionals. These are companies like 7-Eleven, Volvo, First Citizens Bank, and the University of Southern California that are using our tool internally to find and engage the right technologists to fuel their digital strategies.  We believe that there are over 80,000 companies in the United States that have at least ten open tech job postings. And each one of these companies is a target for our commercial accounts sales team to sell the Dice subscription software offering. The staffing and recruiting industry are the second growth opportunity for Dice with over 18 thousand staffing and recruiting firms operating in the United States. Today, we service approximately 4 thousand of them, leaving us with a significant opportunity to expand our reach into these clients.  To capitalize on these two growth opportunities, we added incremental new business sales professionals during the year, increasing our quotA -bearing sales team capacity by almost 20%. We also increased our marketing spend to generate more qualified leads to fuel our expanding new business teams. Over the past several quarters, we have generated a significant return on our investment. In the fourth quarter, we exceeded our targets for marketing qualified leads, and our new business teams were successful in converting leads to new clients. As a result, our Dice customer base grew sequentially for the fourth consecutive quarter, adding over 230 net new clients.  We also initiated a new Dice branding awareness campaign focused on reintroducing our Dice brand to the more than 12 million technologists in the United States, with the goal of driving new registrations and profile creations. These new digital marketing campaigns launched in September of 2021 include static and video advertising on LinkedIn, YouTube, Twitter, Instagram, and Twitch. We have also engaged with several tech influencers who have hundreds of thousands of followers on Instagram and YouTube. We are focused on those tech candidates that have less than 10 years of experience. We've invested significantly over the past several years to make Dice the industry-leading marketplace for tech professionals. And now we are ramping up our marketing to these millions of technologists to come check us out.  As a result of this new investment in marketing, we're seeing higher reach and engagement metrics that resulted in increased traffic on Dice and we're now adding 33,000 new candidate registrations per month. Now let's talk about ClearanceJobs. CJ's fourth-quarter revenue grew 23% year-over-year, and their sales team also performed extremely well during the quarter, with bookings growth of 35% over the prior year. CJ's revenue renewal rate remains exceptional at 105%. CJ also reached new milestones for new candidate registrations and job postings during the quarter. As with Dice, we have two growth opportunities with CJ. The first is the government contractor market. We currently have approximately 1,800 contractor clients, but know that 10,000 plus can use our services. As with Dice, we have increased our marketing spend to further penetrate this target market.  In the fourth quarter, our CJ new business team was successful in converting leads to new clients. And as a result, our CJ customer base grew sequentially, once again, adding over 60 net new clients. CJ's second opportunity for expansion is selling its subscription software directly to the multitude of U.S. government agencies that are in need of highly qualified technologists and are competing against the private sector for these candidates. We continued to advance our relationships with us government agency clients during the quarter, including the CIA and Idaho National engineering laboratory. CJ's sales and marketing teams continue to execute on their growth plans to further penetrate these two market opportunities, as evidenced by their solid bookings’ growth during the quarter.  As we exited 2021, for both brands, we saw continued strong interest from our clients, finishing the year with significant momentum, and our prime for continued double-digit revenue growth. Last year, approximately 2/3 of our new business team members across Dice and CJ were at or above quota. As a result of comprehensive training, lead generation to support them, and of course, their hard work and dedication. In 2022, we will be increasing our investment in our proven sales and marketing engine, as we look to capitalize on the large and growing markets for tech professionals. We will again be adding new sales heads during the year to our new business teams with the goal of increasing our quota bearing team capacity by 20% in 2022. We will also be increasing our investment in marketing, both to clients and candidates, as a result of the success we've seen from our new digital marketing campaigns.  With the goal of driving increased qualified leads, as well as new candidate registrations and profiles We have created the industry-leading tools for matching employers with the highest quality tech professionals. And we believe we can capitalize on the millions of new technologist jobs being created over the next several years by selling our subscription software to the companies, government agencies, and staffing and recruiting firms that will be looking to fill these jobs. The success we've had to-date with our proven sales and marketing strategy gives us confidence in our ability to continue to grow revenue at a strong double-digit growth rate going forward as we further penetrate our large target market opportunities. With that, let me turn the call over to Kevin, who will take you through our financials, and then we'll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art. And good afternoon, everyone. Let me go into a bit more detail on our fourth quarter financial results. We reported total revenue of $33.7 million, which was up 10% sequentially, and 25% year-over-year. Total bookings for the quarter were $36.2 million, up 35% year-over-year. Dice revenue was $24.4 million, up 9% sequentially, and 26% year-over-year. Dice bookings were $25.9 million, up 35% year-over-year. We ended the quarter with 6,004 Dice recruitment package customers, which is up 4% sequentially and up 17% year-over-year. Our average monthly revenue per Dice recruitment package customer was up both sequentially and year-over-year to $1,160 or $13,920 on an annual basis. Approximately 90% of Dice revenue is recurring and comes from annual or multiyear contracts.  Our Dice revenue renewal rate was 91% for the fourth quarter, down one percentage point from 92% last quarter, and up 16% percentage points year-over-year. Our Dice customer count renewal rate was 86%, up three percentage points from last quarter, and up 18 percentage points when compared to the same period last year. These metrics continue to demonstrate the strength of the tech job market and the value of the Dice products in recruiting technology professionals. ClearanceJobs revenue was $9.4 million, which was up 11% sequentially, and up 23% year-over-year. Bookings for CJ were $10.3 million, up 35% year-over-year. We ended the fourth quarter with 1,878 CJ recruitment package customers, which is up 3% sequentially and up 9% year-over-year. Our average monthly revenue per CJ recruitment package customer was up 5% sequentially, and up 8% year-over-year to $1,486 or $17,832 on an annual basis. Similar to Dice, approximately 90% of CJ revenue is recurring and comes from annual contracts.  Our CJ revenue renewal rate was 105% for the fourth quarter, up 11 percentage points from 94% last quarter, and up 18 percentage points year-over-year. Our CJ customer count renewal rate was 88%, up one percentage point from last quarter, and up 14 percentage points when compared to the same period last year. These positive metrics demonstrate the continued value CJ delivers in the recruitment of cleared professionals. Turning to operating expenses. Fourth Quarter operating expenses were $33.6 million compared to $26 million in the year-ago quarter. As Art mentioned, we're continuing to invest in the sales team and are increasing our third-party marketing spend. The increased marketing spends, and the strong performance of our digital marketing campaigns has resulted in a significant increase in marketing qualified leads to support our expanding new business teams.  And with the strong year-to-date bookings and revenue performance, we had higher performance-based compensation. The company recorded an income tax benefit from continuing operations for the quarter of $0.1 million on income from continuing operations before taxes of $0.1 million. The income tax benefit resulted from discreet tax items, including the reversal of liabilities for uncertain tax positions, as federal and state statutes expired. As a result of these statutes collapsing, as well as both tax benefits from R&D tax credits, and the use of a capital loss carry forward, our effective tax rate for the year was 61% as compared to our expected corporate tax rate of 25%. We recorded income from continuing operations for the fourth quarter of $0.2 million or $0.00 per diluted share compared to income from continuing operations of $1 million or $0.02 per diluted share a year ago.  This quarter's income from continuing operations was impacted by severance and related costs, and discreet tax items, which approximately offset each other. Last year's income from continuing operations was positively impacted by $0.4 million from discreet tax items, partially offset by severance and related costs. Adjusted diluted earnings per share for the current quarter was $0.00 compared to earnings of $0.01 for the prior year quarter. Diluted shares for the current quarter were $48.7 million compared to $49 million in the prior year quarter. Adjusted EBITDA for the fourth quarter was $7.1 million, a margin of 21%, compared to $5 million, and a margin of 19%, in the fourth quarter a year ago. We generated $3 million of operating cash flow in the fourth quarter, compared to $4.2 million in the prior year quarter. The lower cash flow was driven by payment of certain bonuses in December of 2021, and the final payroll of 2021 occurring on December 31st, and partially offset by stronger collections from customers.  From a liquidity perspective, at the end of the quarter, we had $1.5 million in cash and total debt of $23 million under our $90 million revolver. Deferred revenue at the end of the quarter was $46.1 million, up 26% from the Fourth Quarter of last year. When we add the unbilled portion of our contracts to deferred revenue, our total committed contract backlog at the end of the quarter was $92.6 million, which was up 44% from the end of the fourth quarter last year. Short-term contracted backlog consists of subscription-based contracts with revenue that is to be recognized over the next 12 months. Short-term backlog was $78.9 million, an increase of $20.4 million or 35%. Long term backlog. That is revenue to be recognized in 13 or more months is $13.7 million an increase of $7.8 million or 132% from the prior year. During the quarter, we repurchased approximately 960,000 shares for $5.2 million, an average price of $5.45 per share. As a reminder, our current share buyback program includes a $20 million authorization through June of 2022. $14.2 million had been used as of year-end, leaving $5.8 million available under the program.  We continue to believe the buyback is a recognition of the long-term prospects of our business and the undervalued price of our stock. Consistent with our previous programs, we will continue to evaluate investment opportunities in the business against buying back shares. Looking forward, based on our strong bookings performance, for the first quarter, we expect revenue to be in the range of $32 million to $33 million, representing a growth rate of 20% to 23% year-over-year. From a profitability perspective, we will continue to operate the business to adjusted EBITDA margins at or near 20% throughout 2022 as we balance our strong financial performance with increased sales and marketing investment to drive long-term revenue growth. We are excited by the positive momentum we are seeing in bookings, and believe our investments in sales and marketing will continue to drive strong, sustainable double-digit bookings and revenue growth going forward. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Kevin. I would like to close by once again, thanking all of our employees for their hard work over this past year. Your determination and dedication to executing our growth plan has paid off. It's a pleasure to be part of such a great team. With that, we're happy to take your questions.
Operator: We will now begin the Q&A session to ask a question, [Operator Instruction]. At this time, we will pause momentarily to assemble our roster. The first question comes from Eric Martinuzzi with Lake Street. Please go ahead
Eric Martinuzzi: Congratulations on the terrific numbers for the quarter.
Art Zeile: Thank you.
Eric Martinuzzi: My question has to do just kind of high level here. Omicron seemed to impact a lot of people in November, December, January timeframe. I know obviously this is not dealing with COVID is not a new phenomenon, but I'm wondering if there was anything new and how you manage the business with regard to Omicron recently?
Art Zeile: That's a great question, Eric, really appreciate it. And I'd have to say the answer is no. I check in with our sales leadership every couple of weeks to ask them about what they're seeing in terms of client sentiment, I actually checked in with one of our key leaders just about two hours ago, and they have, to a person, said that Omicron has really not affected people's view of 2022 and their hiring needs. And so, we feel pretty confident that we're in a good place right now.
Eric Martinuzzi: Okay. You're making some pretty big investments here in 2022, and I can't disagree with it. I'm a big fan of growth as far as the trade-off between growth and profits and you guys targeting that at a near 20% for 2022, despite the double-digit growth here. Curious to know how those changes in 2022 versus 2021, and I'm specifically talking about the Dice side of the house. Are you -- is it just going to be, hey, we invested in commercial teams last year and we're going to continue that 20% growth in sales, gets pointed there, is it towards the staffing and recruiting side of the house, how is the investment being pointed in 2022?
Art Zeile: Great question as well. I would say that part of the investment was making sure that we had fully staffed product development teams. And we were able to do that exiting 2021, moving into 2022. What I think about as the substantial portion of our investment for this year is really in Dice Commercial Accounts team expansion. And so, we still believe that we have 80,000 plus targets that we can go after that are viable for the Dice platform, and we want to make sure that we have the number of feet on the street to engage in those relationships.  So, it's mostly about that sales investment. We are very bullish on the success that we saw as a result of our brand awareness campaigns focused on technologists, so we'll be roughly doubling that spend in 2022, but I'd say if I was to prioritize the level of investment, the majority of it is going towards expanding those commercial accounts. Team -- those teams for Dice.
Eric Martinuzzi: Okay. And then my final question is probably more for Kevin. As you had customers coming into deciding what their package was going to be for 2022, did you see a change? Obviously, everybody is going to come actions, say hey, we're buying more seats and so we want a discount on the volume, or we want to do it. Can we get a different price if we do it for a longer, a multi-year commitment? What was the buyer behavior as you wrapped up Q4?
Kevin Bostick: Good question. It really wasn't any different. We continue to see new customers and new customers seeing value in the platform. So, we really haven't seen any sort of behavior changes as far as pricing or expected pricing or discount. We did see retention rates slightly above a 100% in Q4 for Dice, we saw retention rates much higher than that in CJ, so there really was not a push for any beneficial pricing by buying more products.
Eric Martinuzzi: Okay. Congrats again on the numbers, and looking forward to 2022.
Art Zeile: Thanks so much, Eric. Appreciate it.
Operator: The next question comes from Josh Vogel with Sidoti & Company. Please go ahead.
Josh Vogel: Thanks. Good afternoon, guys. And congratulations on the performance to date. Really impressive.
Art Zeile: Thanks.
Josh Vogel: The first question, maybe more so for Kevin and I know you gave some nice guidance here for Q1 and just thinking about the trajectory throughout the year and the cadence of revenue, given the level of deferred revenue and backlog, is it fair to assume that revenue should step up quarter-to-quarter before maybe getting back to more seasonal trends in 2023 and beyond?
Kevin Bostick: We expect to see quarter-over-quarter growth throughout the year. Keep in mind some of the earlier quarters in 2021 were effectively lower based on the 2020 bookings. And so, we are seeing a very strong quarter for 2021, sorry, 2022 as we shared. That is likely to come down a bit throughout the year just simply from the comparative periods being much harder. But as we think about for the full year, for each quarter in the full year, we still feel comfortable that we will be in that double-digit range of growth year-over-year.
Josh Vogel: Okay. Great. Thanks. And I may have missed it in your prepared remarks, but in looking at the renewal business and how wage inflation comes up and plays into your value prop, can you just talk about how pricing is looking on renewal business relative to -- prior to the pandemic.
Art Zeile: Yes. We do have an auto-renewal clause in 90% of our contracts approximately today, and that does have a price escalation feature that helps us with regard to seeing a better price attainment. We argue that we are improving our platforms each day for that matter in terms of our customer experience, and so I would say that we believe we can continue to see Dice revenue renewal rate in the 90s in terms of percentile, as well as ClearanceJobs. Now ClearanceJobs popped out and was a 100 and -- it was over 100% -- 105% this particular fourth-quarter. But I'd say that we would anticipate that the '90s is considered to be best-of-class in terms of both platforms performance.
Josh Vogel: Alright, great. And I saw the product development spike sequentially in year-over-year. I'm just curious, was there something kind of one-time in there? Just seemed like a big number compared to what my model is showing?
Art Zeile: I would say that in general, we like our clients for that matter. We're working very diligently to fill our own technologist staffing verse technologists needs inside of our teams and hats off go to our HR and our recruitment teams because we were able to do so by the end of last year. We really feel like we have very stable technology teams. There are 14 teams that are built on a principal called Domain Driven Engineering and so they have their own domain of expertise. And some of those teams were partially staffed for most of 2021, but we were able to catch up by the end of the year. And Kevin I'd ask, is there anything else that you'd add there?
Kevin Bostick: The only thing I would add is, our product team was also responsible for separating the eFC business. And so, the work they did on separating the eFC business cannot be capitalized, it has to be expensed. So that resulted in a higher expense for the product team flowing through the income statement for the full year 2021.
Josh Vogel: That's helpful. Thank you. And just lastly, how many quotA -bearing sales headcount do you have today? I just want to get a sense of, when you say you're going to add 20% more this year, how many actual heads that is?
Art Zeile: So, I would say that at exiting last year, 2021, we had roughly 90 quotA -bearing reps. And so, if you think about 20%, we're roughly saying an incremental 18 to 20 individuals that will be replaced in these new business teams.
Josh Vogel: Perfect. Well, thanks for taking my questions, guys. Congratulations again.
Art Zeile: Thank you very much, Josh, appreciate the questions.
Operator: The next question comes from Zach Cummins with B. Riley Securities. Please go ahead.
Zach Cummins: Hi. Good afternoon. Thanks for taking my questions. I'll echo the sentiments of the prior two analysts on the strong results here in Q4. Kevin, could you remind us on the percentage of bookings that typically fall into Q4 and 1Q when we're looking at a full-year basis. I'm just trying to get a sense of the visibility that you guys have into the business, and the confidence behind their sustainable double-digit growth.
Kevin Bostick: We are in the neighborhood of 60% of our bookings would be in those two quarters. Now, of course that changes a little bit when the new business team continues to add more and more bookings. But I would say right now, a good rule of thumb for where we are as a business is ballpark 60% between the two quarters.
Zach Cummins: Got it, that's helpful. And in terms of the sales hiring, looking to expand quota carrying reps sped by about 20% from a capacity basis, how should we think about the pace of the hiring there? I would imagine trying to get them in the door as quickly as possible to get them productive in 2022. I'm just trying to get a sense of how you're going to balance that phase of hiring versus maintaining the strong productivity you've seen with the existing team?
Art Zeile: Well, roughly I would say, the answer is that we're going to be hiring them equivalently over the quarters. And the key thing to understand is that for each one of these sales reps there's an ecosystem that supports them. And what I mean by that is we have to make sure that we have the right number of marketing qualified leads that we hand off to these new reps. We need to make sure that they have the right training in place during their ramp period, which is six months. We need to make sure that they have the right ratio of sales development reps, those are the folks that to do outbound calling as well as qualification calls for the reps themselves. So, there is a lot that goes into the equation of making a rep successful. And so, we want to make sure that we're balancing all those ingredients as we hire them and not overwhelming the system if you will.
Zach Cummins: Understood. And final question for me is just around your product development road map. Can you give us a sense of the key focus areas for the Dice platform in particular in the coming year?
Art Zeile: Sure. So, I would say that the key area of focus this year is going to be the technologist experience. What we found is that we were able to obviously expand the number of clients that we had last year with both Dice and CJ. We want to make sure we have a balanced marketplace, meaning we have just as much new candidate engagement in the platform, as a result of the new client engagement. And so, we're rolling out, for example, a new apply flow that makes it a lot easier for a candidate to apply to a job. We have a new detailed job view, which is the page that essentially provides all the details about the job, the opening itself.  There is a new technologist on-boarding, so there is going to be a process that's much more streamlined for a technologist creating their profile, uploading their resume, effectively becoming a part of the community very -- in a very short manner. And so, that's just giving you a view of the technologist's experience that's going to change and improve over the course of the year. But we have equivalent releases and important, I would say milestones for the client experience, for making sure that we also increased connectivity between clients and candidates, as well as branding.  As we kind of indicated in our past earnings calls, we believe that branding is a significant weapon in the arsenal of clients to essentially bring on tech candidates telling their story about their mission, their values, their culture. That's all important in a time that the technology unemployment rate at least for January was 1.7%. You really have to embrace the idea that you are selling yourself to a candidate to bring them on board your company because there's such a supply-demand imbalance.
Zach Cummins: Understood. Thanks for taking my questions, and congrats, again, on the strong results.
Art Zeile: Of course. Appreciate it, Zach.
Operator: [Operator Instruction] The next question comes from Kevin Liu with K. Liu & Company. Please go ahead.
Kevin Liu: Good afternoon, guys. First question here. Just in terms of your new bookings, especially for the Dice platform, curious as to how that mix is coming in from the traditional staffing firms versus some of these commercial accounts you're now targeting?
Art Zeile: So, I'm going to ask Kevin if he has the exact numbers but approximately, I'd say 60% of the new bookings are coming in for commercial accounts and 40% for staffing recruiting agencies. And that's, I think, representative of the fact that there's demand across both categories. But also, the fact that, from a legacy perspective, we've had that staff in recruiting new business team in place a little bit longer than the commercial accounts team. So, we're -- as I illustrated in the answer to our questions, we're actually building up those commercial accounts team to make it even larger than it was in 2021.
Kevin Bostick: No, your air numbers are directionally correct, Art. That's right.
Kevin Liu: And then just given kind of the war for talent that we're seeing out there today, can you just talk about how that's impacting kind of demand for your ancillary services are the less recurring pieces of business and what sort of growth you would expect for that lecture as clients think about ways to capture more talent?
Art Zeile: Yeah, I think that's a great question, Kevin. So just big picture wise, 90% roughly of our revenue comes from subscription base contracts. So, the other 10% falls into this category of ancillary services, of which I'd say the important ones are sourcing services virtual career events, as well as branding and advertising. I think it's notable that sourcing services, which is focused on having our internal team of recruiters use our only tool or tools, Dice and ClearanceJobs to really find candidates for problematic positions. And so, that particular group saw a very large increase in demand in fourth quarter.  Now, again, I don't want to overstate that because that's less than 10% of our total revenue. But I think it's also a very good indication to your point of people's interest in solving the problem for hiring technologists at this point in time. So, we would expect to see that particular group sourcing services have an even bigger impact in 2022.
Kevin Liu: That's great to hear. And then just lastly for me, you highlighted some of the marketing efforts you have around getting more candidate profiles into the Dice platform. Can you just talk a little bit about how engaged the new candidates are, whether they're coming into the platform and immediately interacting with some of the clients you have on the employer side, and what sort of success your customer base is seeing from all these new profiles?
Art Zeile: Sure. So just to provide some statistics for January, a big picture for the Dice platform. Rough order of magnitude we have at about 200,000 unique live jobs on Dice in January. We believe that there are 350,000 job openings, roughly speaking, across the United States. So, a pretty good cross-section of those openings across the United States. We had a total of 1.5 million visits by candidates over the course of the month, and they generated 500,000 applications to those jobs. So, I think we're seeing a good amount of engagement on the platform. Now I could tell you that we are doubling the budget associated with these brand awareness campaigns, so we think that we can do even better yet in 2022.
Kevin Liu: Okay, great congrats on the strong finish to the year and good luck here in '22.
Art Zeile: Thank you, much Kevin, really appreciate that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Art Zeile for any closing remarks.
Art Zeile: Well, thank you very much. I just wanted to say thank you, everyone, for your interest in DHI Group, and I hope everybody has a great day, week and year to come.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.